Operator: Good morning, and welcome to the Marpai Fourth Quarter and Full-Year 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Steve Johnson, Chief Financial Officer. Please go ahead.
Steve Johnson: Thank you, and good morning, and welcome to the Marpai fourth quarter and full-year 2024 earnings release webcast. With me this morning is Damien Lamendola, CEO and Director of Marpai; and John Powers, President of Marpai. Please see the required safe harbor and forward-looking statement disclosures shown up on your screen. And with that, I'd like to turn it over to Mr. Damien.
Damien Lamendola: Thanks, Steve. In chart span, Marpai's team engineered an exceptional turnaround dramatically reducing losses. Now we're investing in the company to achieve high growth and profitability. Our key strategic initiatives remain consistent: revenue growth, best in customer experience and profitability. We continue to streamline cost by deploying innovative services, including our recently announced Empara member engagement part. Looking ahead, we'll introduce high-impact format benefit management services in the second-half of 2025. These actions will fuel growth and position Marpai profitability in 2025. Let's turn over now to John.
John Powers: Like Damien and everyone on our leadership team, I'm a large shareholder of Marpai and committed to profitable growth, aligned with our shareholders. As we transition from writing the ship to a high-performing TPA, we have increased our focus on revenue growth. We are actively recruiting high-caliber sales executives and expect to add at least one or two within the next quarter. Our Marpai Saves approach is resonating with not only our existing potential -- our existing clients, but also our potential clients, especially as health care costs continue to rise in the low-double-digits. As we have discussed in earlier calls, we have seen great success in focusing our sales attention to a few targeted industries where there are high labor costs and tight margins. For example, we recently brought in a large Northeast hospital system that needed a TPA partner that could deliver cost savings right away. One other success that we have been experiencing is leveraging strategic partners that refer business to us throughout the year and not just on the typical January 1 benefits plan year. Finally, recall that Damien has over 30-years' experience in the pharmacy benefit management or PBM industry and remains tightly aligned with fellow industry executives. Under Damien leadership and expertise, we are launching Marpai in the second-half of 2025, which we anticipate will reduce prescription costs for our clients, while offering innovative solutions for high-cost specialty drugs. In fact, we're evaluating the potential to expand that program to other sales channels outside of our current book of business. In addition to driving lower cost of health care, Marpai is differentiating ourselves by executing a superior member experience. We recently announced a collaboration with Empara in their health care engagement platform, reducing the multiple portals and apps to just one and providing world-class service. We've begun the rollout of that project and expect it to be complete by the end of June. Another key lever for improving the member experience is our strategy to drive continuous improvement in our operational KPIs. In our call center, we have gotten our average speed to answer to less than 10 seconds when handling member calls. On our claims team, we've gotten the average claims processing turnaround time for a clean claim to just seven business days. As we mentioned previously, we are utilizing our AI skills to assist in our member improvement of our operations. Finally, we continue to build out our Marpai Saves program, providing value-added services to drive the cost of health care down for our clients, their employees and their families. Cost savings continues to be the number one reason clients choose an independent TPAs, such as Marpai. With that, I would like to turn it back over to Damien.
Damien Lamendola: Thanks, John. Marpai's mission to reduce health care cost is essential and as the largest shareholder, I'm fully committed to it. However, we must also deliver financial success. We will discuss our progress on that front. And I want to emphasize our strategic focus on achieving profitability in 2025 and rapidly maximize the profitability going forward. We're balancing purpose with profit, and we're moving forward with urgency. Team is streamlining tools and vendors Marpai currently offers too many choices for services. We've created a core package of services and the client wants additional customization, Marpai will suddenly accommodate at the right price. We have a continuous improvement mindset, and we'll make targeted reductions as operating efficiencies are realized. I'm very excited about our new MarpaiRx program that have been personally leading. You may remember, in 2017, a success we sold PBM to the Carlyle Group and bringing my deep knowledge of PBM insight to Marpai. We anticipate solid revenue growth and profitability for the total systems approach and data analytics in combination with our artificial intelligence capabilities under one roof. We're implementing an early alert program to drive savings through better medical management. Finally, I'm not happy with our stock price. The market education is underway at Marpai. And I'm personally presenting, along with our CFO, Steve Johnson, at the Planet MicroCap Showcase in Las Vegas, April 22 and 24. This explosive investor conference is attended by sophisticated investors seeking high potential companies. With that, I'll hand it over to Steve to cover the financial highlights.
Steve Johnson: Thank you, Damien. Please refer to our SEC filed 10-K for details I will review the highlights of the following achievements that we achieved in the fourth quarter and 2024. We ended the quarter with $800,000 in cash on hand. While revenue declined by approximately 6% from Q3, we cut operating expenses by 5%, saving approximately $300,000 and we will continue to review our client portfolio to focus on more profitable claims. Our operating loss was reduced from approximately $3.1 million to approximately $2.7 million for the fourth quarter, and our net loss was $1.2 million, down from $2.4 million from Q3 and even more significantly down from Q4 of 2023. Earnings per share were a loss of just $0.08, which was an improvement of $0.22 from Q3 in 2024. One of the key things is we had a lot of activity in 2024. And we thought it'd be good to provide some additional commentary around and present an adjusted EBITDA metric. So our adjusted EBITDA is calculated as earnings before interest taxes, depreciation and amortization, excluding nonrecurring transactions, and stock-based compensation. The adjusted EBITDA loss for the year ended December 31, 2024, was $9.1 million, as compared to a loss of $20.2 million for the year ended December 31, 2023, massive improvement year-over-year. The improved adjusted EBITDA loss was due to the actions taken throughout 2023 and 2024 to better utilize our resources and reduce our expenses as we shared on our quarterly calls. Please note that we provide a net loss to adjusted EBITDA reconciliation table highlighted on your screen, as well in our press release and 10-K filing. With that, I'd like to turn it back over to Damien.
Damien Lamendola: Thanks, Steve. On demanding results, as CEO and largest shareholder, I'm driving our leadership team to aggressively pursue shareholder value. We're calculating the culture of high performance from the highest levels of management to every team member. Reunite it in our dedication to our shareholders, customers and partners. We're innovating, we're executing and we're delivering real results. We're pioneering solutions and delivering tangible value. We're not waiting for opportunities, we're creating them. Your continued confidence and support are deeply appreciated.
Unidentified Company Representative: Thank you, Damien. At this time we will be opening up the conference call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Ian Cassel with IFCM. Your line is now open.
Ian Cassel: Congrats on the progress throughout 2024. I have a few different questions, and I'll just ask two or three of them, then I'll jump back in the queue and then maybe ask the remainder if there aren't any more. But 2024 definitely seems like a turnaround type of year and it's a little bit of shaking the tree with the current customer base. I think you probably had some customers that were kind of unprofitable and you're glad to see them go then also replacing them with new profitable customers. Just thinking about churn for 2024 and going into 2025. Is a lot of the churn now behind us? Or do you still think we'll have some more of the tree that needs shaken?
Damien Lamendola: Thanks, Ian. John, do you want to take that one? I’ll go ahead and take it, is…
John Powers: I got it Steve, sorry. Sorry about that. I was on mute. I didn't know I was on mute. My bad. Yes. We definitely continue to focus our attention on our most profitable clients. I believe our overall attrition rate is definitely within line with industry average. In early 2025, we'll see some of that attrition flow through early in the year, but we have closed a significant amount of business throughout the first quarter and have a very strong pipeline for the remainder of the year. So we remain extremely optimistic.
Ian Cassel: Okay, it's great to hear. And another question I had would be your cash position, I think you drew down $5 million to support the company. How do you think about the cash position and the planned growth looking ahead?
Damien Lamendola: Yes. Ian, we ended the year with approximately $800,000 in cash. Of course, all our actions have greatly reduced our cash burn. And certainly, the additional $5 million from our strategic financial partner. JGB Capital, was very, very helpful, especially driving our growth in 2025. And we have plans in place to cover our requirements until the company's cash flow positive in 2025.
Ian Cassel: Okay. I appreciate that color. Another question I would have would be, you mentioned strategic partnerships in your prepared remarks. I was wondering if you could kind of provide a little bit more color on some of the strategic partnerships you have or ones that you expect to bring on to help accelerate the growth.
John Powers: Sure. This is John. We recently announced two significant collaborations with Health fintech and Empara those are two-way streets where we drive revenue for each organization and bring leads to one another. We have two additional ones that we're extremely optimistic about. But at this point in time, we're not at liberty to share. So keep an eye for announcements on those. These collaborations supercharger sales cycle and definitely allow us to close blocks of business, not just a onesy-twosy approach at leveraging our alliances.
Ian Cassel: Thanks for that color. How do you -- how should people think about Marpai's value proposition going to compare to the competitors that are out there?
John Powers: Great question. We focus definitely on driving significant savings to bend that health care employee benefits trend with the best-in-class solid member experience. I recently met with a broker that I thought would share some of their feedback. And what they said was Marpai is solid in all aspects of the TPA business. Many in this space help the fluff and supposed features. Marpai's focused on the basics and getting good results. So we're going to continue to drive that drive savings and best-in-class member experience. And those are the two main reasons why anyone choose an independent TPA such as Marpai. So we're extremely optimistic we're going to continue to drive those homes for the remainder of the year.
Ian Cassel: Okay. Well, I lied, I'm just going to ask all the questions I had. I know that you guys seem to be really excited about MarpaiRx, and I'm just curious if you can maybe provide a little bit more color on why that product or additional product is so important and crucial to the growth of the company moving forward.
Damien Lamendola: This is Damien. And with my years of experience in the PBM space and having tracked the industry for a long time, the lately PBMs have attracted significant negative attention, so we see an opportunity for MarpaiRx as we reviewed the pending legislation coming to more transparency and structuring our new MarpaiRx program to be compliant with the legislation while at the same time, delivering significant savings to our clients, we believe this will give us a significant competitive advantage in the space.
Steve Johnson: One of the other things, Ian, that's really exciting us is, first of all, to have a resource and expert such as Damien leading the charge on that. And the second is when we look at our competitors out there, on average, they're driving about 20% of their TPA revenue through prescriptions and rebates there. And our percentage, while we don't specifically disclose it, is has currently been way under the industry average. And so just by improving the program and getting it out there, we expect a large jump in our revenue. And those programs tend to be very high margin as well, which, again, will be a significant driver of our profitability by the end of 2025.
Damien Lamendola: Steve this is Damien. I want to add one more thing. The reason I'm so excited and passionate about adding MarpaiRx it gives a toll systems approach to health care. In other words, we're doing everything. We're seeing the prescription information and data and working with clients on that, as well as the medical, as well as all the other services. That, in combination with our new AI capabilities to analyze this data and give better feedback, help doctors work with their patients to improve on their overall outcome and reduce the cost of their care, but yet improve when their outcomes and approval on their health is this gives us maximum ability to do that. And so we expect to have greater savings for patients, for doctors and greater outcomes. So we're very excited about it.
Ian Cassel: Great to hear. Thanks for the color on that.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Steve Johnson for any closing remarks.
Steve Johnson: Thank you. This completes Marpai's fourth quarter 2024 earnings call. If you do have any additional questions or require further information, let me get the next slide up there for you all. Please see the information on the screen or go to our Investor Relations website at ir.marpaihealth.com. This webcast will be available for a replay. Thank you again for joining us this morning.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.